Operator: Good day, ladies and gentlemen. Today, we are hosting a Conference Call to discuss Cinedigm's Fourth Quarter and Full Year Fiscal 2022 Results. My name is Nadia, and I will be your conference operator. At this time, all participants are in a listen-only mode. We will have a question-and-answer session at the end of the call.  Please note that this call is being recorded. Your host for today is Ms. Laura Kiernan, Head of Investor Relations for Cinedigm. Please go ahead.
Laura Kiernan: Thank you, Nadia. Good afternoon, everyone, and welcome to Cinedigm's fiscal '22 fourth quarter and full year results conference call. Before we begin, I would like to point out that certain statements made on today's call contain forward-looking statements. These statements are based on management's current expectations and are subject to risks, uncertainties and assumptions. The company's periodic reports that are filed with the SEC describe potential risks and uncertainties that could cause the Company's business and financial results to differ materially from these forward-looking statements. All the information discussed on this call is as of today, June 28, and Cinedigm undertakes no duty to update it. In addition, certain information presented on this call represents non-GAAP financial measures. We encourage you to read our disclosures and the reconciliation tables applicable to GAAP measures in our earnings release as you carefully consider these metrics. With us today, we have Chris McGurk, Chairman and CEO; John Canning, Chief Financial Officer; Yolanda Macias, Chief Content Officer; Gary Loffredo, Chief Operating Officer, General Counsel and President; Erick Opeka, Chief Strategy Officer and President of Cinedigm Networks; and Tony Huidor, Chief Technology and Product Officer, all of whom will be available for questions following the prepared remarks. I will now turn the call over to Chris McGurk to begin.
Chris McGurk: Thank you, Laura. Welcome everyone, and thanks for joining us on the call today. First, I am going to briefly review our extremely strong results, and then I'm going to speak to the reasons our content and streaming business strategy is clearly working so very well, at the same time, when many players in the industry are struggling to find their footing in this turbulent, macroeconomic and business environment. So we had tremendous success once again this fourth fiscal quarter, more than doubling our total revenues, which were up 104% to $16.9 million driven by a 109% increase in add supportive streaming revenues, which were also up an incredible 793% on a two-year basis. Our streaming revenues in total were our highest ever for a quarter and our revenues also far exceeded analyst estimates. Our full year revenues of $56 million were up 78%, driven by a 108% increase in our streaming channel revenues again led by ad supported revenue growth of 147%, strongly outperforming the rest of the industry. On a two-year basis, full year streaming channel and ad supported revenues rocketed up as well, hired by 290% and 514% respectively. Combined with a long plan and successful monetization of our legacy cinema equipment business, our rapid revenue growth helped generate $7.1 million in adjusted EBITDA for the full year. That helped eliminate all our debt on the bulk of the important Digital Media Rights or DMR acquisition and generate positive net income for the full year. Now let me talk about the reasons we are generating these strong results. Six straight quarters of triple-digit streaming growth despite the tumult in our industry and the overall business environment. The most important factor driving our growth is that we developed a winning strategy for the streaming content business years ago and have completely stuck to that vision.  Our vision has always been to approach the streaming content business, which is the highest growth sector of the entertainment business with a diversified risk-advantaged portfolio approach to content channels and revenue streams while controlling and leveraging our technology. In that way, we plan to take the first advantage of every facet of the massive, ongoing sea change as consumers switch their viewing habits to streaming. So while many players in the streaming business have only a single streaming channel or a single revenue source, we built organically and through acquisitions a portfolio of 30 enthusiast streaming channels targeted directly at specific high-interest audiences.  These channels are complementary to and not competitive with the big general entertainment subscription services like Disney+ and Netflix. We fully own 15 of our 30 channels, including Fandor, Dove and Screambox and have distribution deals for the other 15 with branded entities such as Bob Ross, Real Madrid and The Elvis Presley Channel announced just yesterday. This deal mix creates yet another portfolio effect. When years ago, most players in the business focused on taking a position in the highly competitive and extremely expensive general entertainment subscription channel business, we pivoted to building a position in the ad-supported and fast channel businesses when we recognized the huge oncoming flow of advertising dollars into streaming. You just saw the results of Cinedigm being an early mover with our ad numbers up 147% this year. So while all the headlines blast news about subscription streaming companies flaming out like Quibi or CNN plus because of massive spending and losses or others like Netflix are scrambling to enter the advertising business, while at the same time, they all continue to spend billions of dollars to pummel and outspend each other in the general entertainment subscription moors , Cinedigm is already established in advertising and has been there for a long time. We know what we are doing in the fast-growing advertising space and are growing that business like wildfire. And we customize the best effective approach, subscription, AVOD, fast or hybrid with every one of our channels and that creates another diversified portfolio effect in our revenue streams. And over the years, we forged deals with every major streaming platform as well as every major television and device manufacturer in the business, including Samsung, LG, TCL, VIZIO, Amazon Fire, Roku and pretty much everyone else with a total reach into over one billion streaming devices worldwide. This broad and robust platform distribution again demonstrates the diversification approach to our strategy. And another huge factor in our success, which separates us from much of the industry and much of the cost spiral affecting competing streaming companies, is that we built and control one of the largest modern content libraries in the world, now at 46,000 independent films and TV episodes and growing. We are not overly reliant on the expensive, risky original development and production business like others in this industry. Instead, we predominantly acquire and distribute completed films and television shows in multiple year deals for either small upfront advances or no advanced revenue-sharing agreements.  With this approach, not only do we incur much less risk than our competitors, but we also possess a much better understanding of the content market potential than if we were creating content from scratch. And we have strong branded content partners like Hallmark and the NFL that add to our success in this area. This strategy gives us the content rocket fuel to build and refresh our streaming channel portfolio while giving us yet another diversified revenue stream because we also license this content to every player in the streaming ecosystem, including Netflix, Amazon and Hulu, to name just a few.  The last element of our long-term business vision was to control our own streaming technology. We spent the last eight years codeveloping with our partners at Foundation TV, our Matchpoint platform, a full stack, industry-leading streaming and content distribution platform. And we acquired Foundation TV last year and now fully own all intellectual property pertaining to Matchpoint. Today, we have a growing and talented engineering team in India building Matchpoint 2.0 as well as the upcoming CineVerse, keeping us at a cutting edge of industry innovation.  Not only does Matchpoint provide us with a state-of-the-art streaming platform, but it also saves us millions of dollars annually in technology and content distribution costs as well as attracting top-tier brands and partners that want an effective streaming channel. Matchpoint will also help establish yet another diversified revenue stream in the SaaS arena and in the lucrative third-party content aggregation business. So in summary, we have successfully implemented every element of our strategic vision. First, our targeted enthusiast streaming channel approach; second, our diversified 30-channel portfolio distribution footprint and revenue streams; third, our low-risk, high-return control of a massive amount of independent content; and fourth, owning our own state-of-the-art technology.  These factors are why we continue to show such tremendous growth when business conditions and the lack of a diversified portfolio strategy combined with high content and technology costs have set many of the other players in this industry, scrambling. Closing the year with the DMR acquisition, which we successfully converted into a potential all-cash deal spread over multiple years, we have made 7 roll-up acquisitions over the last 16 months.  We have bought in 15 new streaming channels and 15,000 new films and TV episodes. This helps scale Cinedigm up to the 30-channel streaming portfolio and 46,000 title library I just spoke about. Given this vastly increased scale, we are now expanding our strategy to implement four new high-return growth initiatives that fully leverage our asset base, capabilities and industry-leading Matchpoint technology. As I announced in my shareholder letter a few months ago, these 4 initiatives are: first, the rollout of CineVerse, which will provide consolidated access and cross promotion for all of our streaming properties; second, the aggressive expansion of Cinedigm's podcast network, already with a portfolio of 25 podcasts, 50 million downloads and a goal to get to 100 high-margin podcasts in the next 24 months; third, the rapid launch of our comprehensive in-house advertising solution to capture even more revenue upside in that business; and finally, the imminent rollout of Matchpoint 2.0, which will provide additional revenue opportunities via content aggregation and SaaS services.  All of these initiatives have minimal working capital and overhead requirements. And combined with our nascent international expansion, particularly in South Asia and Latin America, we expect these initiatives will generate over $50 million in new revenues annually once they reach steady state. Finally, I want to talk about the markets and our stock price. Obviously, geopolitical factors and market sentiments have made it a tough start to the year for most of the capital markets and certainly for Cinedigm's shareholders. It is especially frustrating for our employees and investors that this has occurred while we are performing so very well.  We remain, by every measure, in the strongest position we have ever been in. Our strategy that I just outlined is unique, and it is clearly winning in the marketplace. With our newfound scale, we now have several new high-return initiatives launching that will further accelerate our growth. Given all that, we clearly believe that the market is severely undervaluing our equity, and we will continue to work to outperform quarter after quarter, which we believe will ultimately address the issue. However, we continue to evaluate options to take advantage of the situation from an equity standpoint, such as a potential stock buyback program. With that, let me turn it over to John for a more detailed review of our results and outlook.
John Canning: Thank you, Chris, and hi, everybody. I'll touch on a few fourth quarter and full year highlights since Chris has provided a lot of color already on the top line results, then I'll give a brief look into our plans for the next 2 to 4 years. We generated $56 million in revenue this past year. Let me break it down from a segment perspective, which will help give perspective about analysis of next year. Our streaming and content business generated total revenues in fiscal year '22 of $38 million, with the remainder of our revenues coming from digital cinema, virtual print fees, cinema VPF and the long planned sales of legacy Cinema Equipment, particularly our agreement with AMC.  As the VPF program winds down and although we still have 770 digital projection systems available for sale, we're expecting only minimal contribution from our legacy business next year as we have been signaling for quite a while. Our adjusted EBITDA numbers improved both this past quarter and past year. We reported adjusted EBITDA of a negative $0.4 million in the current year quarter, which was an improvement of $2.1 million versus the prior year period. For the year, adjusted EBITDA was $7.1 million, which was an increase of $10 million versus last year.  Similarly, our net loss of $3.1 million or $0.02 per share in the fourth quarter improved $3.8 million or $0.03 per share versus the prior year quarter, and we generated net income of $1.2 million or $0.01 per share versus net loss in the prior year. As a result of this strong performance, we ended the year with over $13 million in cash and no debt. During the past year, we paid down approximately $10 million in notes and eliminated approximately $4 million in interest expense. We completed the DMR acquisition at the end of the fiscal year. After restructuring the deal, as Chris mentioned, lowering the price of $16.4 million, adding a 3-year installment payment schedule and building in the potential for an all-cash deal, we're pleased that DMR's post-merger integration is proceeding ahead of plan.  DMR was the seventh acquisition of the company's roll-up strategy, which included Fandor's Screambox, Bloody Disgusting Film Detective and Foundation TV. The DMR transaction is the latest example of how key players in the media and technology space continue to be attracted by Cinedigm's Matchpoint technology, distribution capabilities content and scale and seek to be a part of the company's rapid and strengthening growth narrative. We are continuing our cost streaming efforts post acquisition to help affect our goal of becoming cash flow positive by year-end.  Additionally, our scale and tech are helping to garner huge operational savings on a continuous basis. As Chris mentioned, we remain committed to considering all options to support our aggressive growth trajectory and will continue to make smart cost of capital decision. In the near term, given the historical growth, all the additional activity over the past year plus the sale essentially of the Digital Cinema business, fiscal '23 should have significant growth in what's now the core business of streaming and entertainment while Digital Cinema sunsets.  For fiscal '23, our core business revenue base is $38 million, and this is the base we believe our investors should be tracking against for 2023. Also notable is that we are lapping extremely high growth of our base business on both a 1- and 2-year basis, as Chris just noted. Despite that, as we have scaled up our business dramatically and continue to expand our streaming initiatives across multiple fronts, we remain comfortable with our long-range target of sustained 50% plus annual streaming revenue growth. Revisiting our long-term goals for the next 2 to 4 years, we've already achieved 2 of them.  To recap, these goals include at least 50% annual revenue growth in streaming, growing revenue to $150 million by fiscal 2025 through organic and acquired revenue, increasing monthly viewers to over 40 million, which we just achieved following the acquisition of DMR, growing engagement to 1 billion committed TV minutes from 0.5 billion per month, which we also achieved and growing our content library to 75,000 titles. As Chris mentioned, we're currently at 46,000. Now I'd like to hand it over to Erick.
Erick Opeka: Hello, can you hear me?
Chris McGurk: Now, we can hear you, Erick. Thanks.
Erick Opeka: Right. Before I talk about this quarter's results with Cinedigm Networks and our strategic vision for the rest of the fiscal year, I want to reiterate just how far this business has come in a brief time. Just 3 years ago, we had 4 streaming channels that were predominantly subscription-based with a few hundred thousand viewers per month and no material advertising business. We had none of the flywheel components in audience you need to sustain and engage in audience. We had small social app and podcast footprints.  Our library, while still substantial, lacked critical AVOD and fast rights, and we also did not own and control our technological destiny. Fast-forward to today, and the story is a complete 180-degree turn from where we were those few short years ago. Through the hard work, focus and foresight of the Cinedigm team, we've built a streaming platform that has a scale to compete with the largest players in the industry on a global basis. So let's talk some numbers to back that point up.  Our business reached 87.1 million monthly viewers across our entire footprint of web, mobile, social and connected TV viewers around the world. That's up over 236% over the prior year quarter. As we rapidly approach 100 million monthly viewers, which I believe we could achieve in this fiscal year, we're approaching a scale only achieved by the largest studios and streamers. As we focus on monetization, engagement and ARPU on that user base, we'll continue to optimize our viewership. Our streaming minutes rose dramatically to 2.3 billion, up 118% of the prior year quarter and 73% over the sequential quarter, and revenues were up 109% year-over-year in the quarter.  These were the highest ever numbers for minutes viewed and revenue for AVOD in our operating history. The reason is simple. Our programming efforts are focused on retaining and engaging high-value visitors over low-value flyby visitors who don't stick around and consume. This concerted effort and focus is clearly paying off with accelerating growth in minutes viewed, ads consumed and most importantly, revenue growth. Our core focus has predominantly been on the ad-supported side of the business, but we continued to grow our overall subscriber business to approximately 970,000 subscribers, which is up over 336% from the prior year quarter.  We expect a higher rate of growth out of this business, beginning with the end of fiscal Q2 and with the heaviest growth in Q3 and Q4 as we put the finishing touches on our new Matchpoint Blueprint platform. All of our key streaming services will migrate to that platform in Q3, Q4 and including Fandor, Screambox, Dove, CONtv and others. We have been internally testing the new platform, and it's clear the quality and design and engineering places the user experience and performance on par with Netflix, HBO Max, Disney+ and other massive scale platforms.  But beyond that, we've been innovating with new AI and machine learning features to help consumers more easily discover and find relevant content that they might otherwise miss on the other platforms that predominantly provide users more of the same content with recommendations with each experience. Our research and study of the market indicates users are excited to find and discover amazing talent that's not served up by the usual suspects, but the current collaborative full  content recommendation systems and algorithms are simply underwhelming and in the worst case of poor user experience.  CineVerse will change all of that. As Chris mentioned earlier, while we've had considerable success combining an organic and inorganic growth strategy, completing 7 acquisitions over the last 16 months, given the current share price and overall market conditions, we're leaning into our now considerable asset in audience space to drive new organic revenues with minimal CapEx requirements. So let me dive into some of the key updates on that front. First, on the podcasting business, our acquisition of Bloody Disgusting has truly paid off, and we've been successfully extending their leadership position in the horror and audio drama sectors to scale up the podcast network. The model is simple. While the major players focus on the top end of the market, Cinedigm focuses on the middle market of the podcast segment. Quality, well-produced shows with faithful audiences by creators that are simply unhappy with their current monetization and distribution partners. Not only do we bring quality monetization and distribution to these creators, but are focused on a smaller base of pods and expertise in enthusiast marketing have attracted many smaller networks and larger individual podcasts to our network, often stealing them away from very large branded competitors.  We expect to scale this to 150 podcast network within the next 12 to 18 months and have a midrange revenue target of 10 million plus for this business, steady state within three to four years. Next, let's discuss our efforts in advertising. Building the back of our -- on the back of our 70-plus programmatic ad demand partner relationships and deep audience extension deals, we're now focused on building a world-class direct ad sales and operations team and have made our first key hires who are as of today, selling fiscal year Q3 inventory into the market. So we should see an impact from that business soon. But beyond that, we plan on following the same model for third-party representation, as I noted for podcast, basically providing a high caliber of direct ad sales services with strong marketing and support to help our partners grow their businesses. , who joined us via the Bloody Disgusting acquisition, is a 25-plus year veteran of the ad space with a focus on this exact model to great success at IndiClick and later Demand Media. So we have the cornerstone of people in place with extremely complementary skills tied to our strategic vision. On Cineverse, as I noted earlier, our vision is simple, rather than compete with establish general entertainment AVOD platforms, instead, we're going to focus on a strategy that has worked so well for us as we scale other parts of our digital business, and that's partnering with major OEMs, platforms, ISPs, telcos and other partners that have scaled audience, but today, no presence in the AVOD universe.  Cinedigm is one of the few companies in the world with the technology to design, integrate, program, post and deploy and monetize the scaled AVOD service given the fact that we have tens of thousands of titles in the market today. With the completion of Matchpoint 2.0, combined with one of the largest content libraries in the market, our goal is launching this initiative to scale partners this fiscal year, and our direct-to-consumer version will also be released to market within the next quarter or so. But we won't be starting from a standstill. Cineverse will take over the footprint of a similarly named DMR general entertainment service called CineHouse, which some of you may have seen the early desktop version we launched for testing, SEO optimization, legal and trademark purposes.  The forthcoming Matchpoint powered Cineverse app and website have not yet launched, but are coming soon. Finally, on the SaaS front. As we reiterated frequently, we're not trying to compete with SaaS providers like Vimeo, Brightcove and others. We look at our approach as a smaller scale version of what Major League Baseball Advanced Media did with Disney+, namely focus on providing a highly scalable streaming platform for Cineverse our own properties and then select key scale partners.  However, we think that like MLBAM did with WWE and MLS, we'll offer our platform to these high-quality scale partners where we estimate there will be material revenue consideration. We are exploring several exciting partnerships on that front, and we hope to talk more about it in the coming quarters. Let's talk content briefly. Our acquisitions effort to build our library of premium content and drive the streaming business included growing our feature films in the library by over 6,000 assets, an increase of 131% over the prior year.  And beyond that, our television episodes, which we consider one of the most important parts of the library, grew by more than 8,200 titles, up 52% over the prior year. On the original content side, we acquired exclusive rights to two action thrillers starring Neil McDonough, who -- of Yellow Stone, Resident Evil and Captain America fame that were released in theaters and that home. We acquired exclusive North American rights to 7 Days, a new romantic comedy starring Duran Sony, known for Deadpool and Geraldine Viswanathan known for Blockers and executive produced by the  Brothers. And the film won an independent Spirit Award as the best new feature. We also acquired Boston George, a docu-series about George, one of the most notorious traffickers and the inspiration for the film Blow starting Johnny Depp, which will be released as a Fandor exclusive. We also entered into license agreements with Warner Bros. for multiple seasons of Freddie's Nightmares, which is now exclusive on Screambox as of February this year, which has led to an extremely material subscriber lift. And lastly, we extended our long-term relationship with the NFL and released -- of the latest Super Bowl Championship program to a broad audience. On the technology front, we launched several new initiatives, including NFP initiatives with Fandor Select and Bloody Disgusting Blood Packs as a means to access and evaluate this emerging technology, and we hope to do more there. On the AR side, we announced a deal with , one of the largest manufacturers worldwide of light AR glasses. For the North American launch, we included CONtv, our flagship sports network Real Madrid and Bloody Disgusting as well as the entire CONtv content library on an on-demand basis as sort of an initial foray into the metaverse.  And then finally, we positioned the company for long-term technology leadership with the launch of Matchpoint debut, a new service that gives film makers, distributors and content owners ability to use our industry-leading digital to distribution platform Matchpoint to self-distribute their content. And beyond that, we expanded the engineering and R&D resources within Cinedigm India to focus on emerging tech such as metaverse, AI, machine learning and so forth. To sum it all up, as we approach 100 million consumers around the globe, our focus will remain on driving high-margin direct ad revenues across that distribution footprint and extending those users into other parts of our flywheel like podcasting and eventually other areas like theatrical releasing, live events, e-commerce and so forth.  This newfound base of scale assets truly provides us with the ability to drive new revenues and businesses at a lower cost than our competitors, and we look forward to sharing more with you on this front as we execute this strategy in the coming quarters. With that, let me turn things over to the operator to take your questions.
Operator: . And our first question today comes from Daniel Kurnos of Benchmark Co.
Daniel Kurnos: A strong finish to the year for you guys. Just either Erick or Chris, we're kind of in uncharted territory from an inflation perspective, but it sounds like from what we've heard just -- it sounds like the upfronts are probably going to end up somewhere in the plus 8 to 10 range, and that's going to be mostly on price. And I'm just curious in -- and we can kind of link these questions together and what looks like it's going to be a supply heavy market in the next couple of quarters. Obviously, Warner Bros. relaunch and who knows if Netflix gets their act together, might take them a little while and whatever Disney does.  But just how are you thinking about -- now that you have the scale that you've been sort of seeking to build here, how are you thinking about  as we move into either a political driving up rates against this sort of odd inflation backdrop that we haven't seen in CTV in general before. And then, B, just given the supply out there, I know you guys always talk about being complementary to the other services given the niche focus, the competition for eyeballs and the way that you guys think how the most recent upfronts or near fronts, I guess, will play out in impacting the business?
Chris McGurk: This is Chris. I'll let Erickâ¦
Erick Opeka: Can you hear me?
Chris McGurk: But overall, we're really positive on both fronts, and he'll give you the details why.
Erick Opeka: Sure. Can you hear me okay?
Chris McGurk: Yes.
Daniel Kurnos: Yes. Yes, you're good.
Erick Opeka: Okay. Good. So look, as I kind of look at the market bifurcation, one of the key things to keep in mind is I look at the entrance of Netflix -- I personally don't see them having a massive material impact on the market overall in this year, there will be some impact next year. I think you really don't start to see a huge impact on the market overall till maybe, I would assume late '23 to '24. But where I think that, that battle is going to be playing out is with a battle for market share between Peacock, if HBO Max has an ad tier and Hulu predominantly.  Everyone's gunning for Hulu and that premium sector of the AVOD market is where Netflix is going to be playing in my opinion. I don't -- where I don't see them playing is in the value to mid-market space where we're a great competitor. I think that's where we live. And I think even in that space, we have a lot of headroom from where we are today from the low to mid-teens depending on the time of the year till with the direct focus into the mid- to high 20s or more. That still puts us at an incredible value versus what advertisers have to pay for the largest services.  And the demand at the mid-market general entertainment is significant. We don't have, today, even enough inventory to meet that growing demand on the sell side. My sales team is telling me that they anticipate very rapidly depleting inventory, so we need to grow inventory faster, which is always a great thing to hear from your sales team. So I just don't see -- and then in terms of headwinds, I think there's -- once again, at the highest end of the market, there hasn't been a lot of impact on sort of opportunistic and scatter for broadcast. There's been impact. On digital, we've seen no impact so far. Our revenue -- it continues to grow and scale. We've seen -- current quarter, no change from the trends that we've been on to date, and I don't anticipate seeing that, especially as we get into the heavy political ad season, where things are already queuing up, I think, quite nicely for our segment.
Daniel Kurnos: Got it. That's helpful. Actually even wondered, Erick, if you might not get a tailwind from rates coming up a little bit, just as inventory gets eased further there. But the other question I just wanted to ask, it's something that's kind of -- you guys have built a unique portfolio, your point more on mid-market. And I know you talked a lot in the prepared remarks around partnerships. By the way, congratulations on getting Elvis launched. I do wonder, just how much of an accelerant is that to you.  And it provides maybe a unique opportunity for you to have more interplay with this Cineverse with maybe even some of the plus guys just as a feeder or some other kind of unique partnerships that we may not be thinking about. So I'm just curious if -- you alluded to more to come, but if there's any more bread crumbs you want to lay for us just on the partner strategy. I'd appreciate hearing about it.
Erick Opeka: Yes. So I'll say this. There -- despite Netflix entering into the market, I think a lot of people look at that as a market share gain. But what everyone forgets is that this business is in and of itself cannibalizing broadcast and cable television, right? So I think these forces are accelerating the $70 billion shift, I think it's outpacing what people had expected. So I actually think there's room for many more partners to get into the game in the same way that there's hundreds and hundreds of cable channels, there are not as many scale plays. So with -- if you think about all of the different players that touch audiences at scale, where you could easily deploy scale ad-supported or commercial streaming service on the -- without -- with minimal fuss, there's a lot of players, particularly the broadcast groups, I think, besides Sinclair, most have not done much, and there's a lot of revenue at risk for them.  There are several very, very large OEMs in the market that are incredibly late to the game in terms of launching a competitor to be included on the Roku Channel. That is, frankly, money on the table in their low-margin businesses. There's dozens and dozens of ISPs that have tens of millions of captive people flowing through their services every month that could dramatically increase ARPU on top of incrementally -- on top of their subscription fees, so on and so forth, right? And then that's not even including players like theatrical exhibitors, retailers and others.  And then if you expand that sort of pool globally, there's a very large array of people -- of companies rather that are touching millions to tens of millions of viewer a month that could very easily monetize in the ad supported space. But it's heavy lifting. It's very hard to do. So the way we look at it is we can be that solution for them in a pretty turnkey way. So that's where I think the opportunity lies. I hope that gives you a little more color.
Operator: And our next question today comes from Brian Kinstlinger of Alliance Gobal Partners.
Brian Kinstlinger: Really great progress over the last year or 2 that you guys have made. I want to touch first on distribution for Elvis. In the press release, I saw a list of platforms that the Elvis content's going to be streamed on. I'm wondering if you expect some of the other major platforms that were named to eventually take this content? Or are they not as interested such as Samsung and Roku and other platforms? And then the opening weekend of Elvis, it's tough to tell what is good and bad these days with attendance at the theater, but it seemed pretty disappointing. Does that change your internal expectations for what the Elvis content can generate for you over the next year?
Chris McGurk: This is Chris. I'll answer the second part, and then Erick can answer the first part. Your take on Elvis box office is completely opposite everyone else's take, I just want to tell you Brian because everyone was thrilled with that...
Brian Kinstlinger: $30 million in the opening weekend. I thought...
Chris McGurk: I don't care what the budget -- the budget doesn't matter to us. From -- it's the highest opening adult skewing movie in the last couple of years and outperformed Rocketman very, very significantly, which was the comp. And it had a 2-hour and 39 minute running time. So Warner Bros. is thrilled with the opening. The industry is thrilled with the opening. We think it's going to be a huge player in home entertainment. And it's viewed as a real success for Warner Bros. and for the industry attracting adults back to the theater. And we think it's going to be huge in home entertainment. So we're really happy with the opening as is Warner's and everybody else in the industry. So I'll let Erick answer the first question.
Erick Opeka: Yes. So I think in any carriage distribution conversation, it's not a sprint, it's a marathon. The marathon is just run very quickly and fast versus, say, the old cable days. But we got some very good partners out of the gate, and we're incredibly pleased with the results with those partners, which I think anybody who's taken maybe a little longer than we would have liked to get it up and going out of the gate, are probably going to be looking at the numbers that they missed out on last week.  And just given the long, long legs of everything happening Elvis, not just the movie, but authentic brands has so many new initiatives, films, docs, projects, birthdays. And then Elvis -- there's a great article for -- it's about $1 billion plus value to the IP now with this resurgence. Between that performance, the value of the ongoing legs, I think there'll be no problem getting distribution on all the places that you would expect to see it.
Brian Kinstlinger: Great. Okay. And then something we haven't heard about because you have so many different things going on, obviously, is as we're still a bit away from the Real Madrid season coming up. But where are you with  picture to better monetize that content as games are being streamed down the road?
Erick Opeka: So we are working with a technology partner to solve for that for the new season. So I fully expect us to have the in-game portion of the part solved by the time the next season rolls around.
Brian Kinstlinger: Okay. And then ad-supported streaming revenue is up 140% -- 147% year-over-year. Can you kind of rank the growth drivers between increased viewership, strong render rates? Because I don't think a year ago, you had the partnership that you have and the installation of  and then CPMs as well and then maybe break out M&A, if you can?
Erick Opeka: Yes. So I would say -- so a lot of the M&A deals that we did -- so keep in mind, these numbers don't really reflect the DMR acquisition. It was -- I think it was one day in the quarter in terms of revenue. So from that perspective, I think we -- the numbers -- and most of the assets that we bought previously Fandor, Film Detective, Screambox and others were more subscription-oriented. So this is really mostly reflecting organic growth coming from both the partnership side and the expansion of our owned streaming properties. I would say that probably the single biggest driver and impact has been on increasing viewership in the minutes consumed, as you can see, has been up pretty substantially.  But it's also -- I would be remiss if I didn't say that I feel like Cinedigm has one of the best add ops teams around, and they've been fantastic at just driving greater and greater optimization of our ad stack. So it's really a technology play that's also allowed us to just generate more revenue. So those render rates have been fantastic. And then our ability to fill on those has been fantastic. And by the way, I think we've identified in DMR, a significant opportunity to do that to their existing base as well, which will be, I think, a big driver of growth as that asset is integrated into our ad ops team.  So if I had to say what was the single biggest contributor, I would say it was probably distribution expansion, a second to that optimization of the waterfall.
Operator: And our final question today comes from Scott Buck of H.C. Wainwright.
Scott Buck: I just have one. I was hoping to get a little more color on the in-house advertising efforts. How many hires are you looking to make there? And you mentioned you already have a few people selling. What's the initial feedback been?
Chris McGurk: Erick, do you want to take that? And Scott, thanks for joining the call today.
Erick Opeka: Yes, sure. So I would say -- yes, can you hear me okay?
Chris McGurk: Yes.
Scott Buck: Absolutely.
Erick Opeka: Okay, good. So I would say that today, we have a team of -- on the ad -- the dedicated ad team -- it's on the smaller side of about 5. We're going to incrementally increase that team as -- in tandem with the inventory availability. So -- but my take is, as I mentioned during the call, we're going to be expanding the third-party business. In other words, there's a lot of parties out there that we're in dialogue with who don't have direct sales that like our approach to the business, they like the business terms. And that will help us increase the inventory that we could sell above and beyond what we currently generate.  So to me, I think that's where we probably start to incrementally add salespeople. So we'll probably add one or two more over the next two quarters. We think we've got good coverage selling into calendar Q4, which is the big focus. And then we're going to see how that goes. But I think we're also just discussing today, the podcast business is growing so rapidly that we really need to increase the sales team and direct team on that side too. So I would envision us probably at least 2 more on the video side and another on the podcasting side. So modest, but these are direct revenue-driving heads. So we think we'll get a lot of value out of expanding that team.
Scott Buck: Erick, that's helpful. And just a bit of a follow-up. What generally has the hiring environment been like for these folks? I mean, is it super competitive at the moment? Or are you finding plenty of qualified people?
Erick Opeka: Yes. So relative to maybe other times, it was less competitive. I'd say it's probably very competitive now. However, we provide a pretty differentiated opportunity for people to sell a broad array of compelling properties as opposed to maybe just selling one property regionally. So I think it's -- and on top of that, we're getting some very entrepreneurial people that like to build teams and build new things. So we're not -- there's no lack of great qualified people for us. We've had -- I think we've had some great hires already.
Chris McGurk: If I could just add, Scott, we've had no problem across the organization as we're growing and attracting qualified people in every area, not just advertising. Because with so much consolidation going on in the industry, there -- just a huge portfolio of qualified people available, and they like our growth story, and they're coming our way. Warner Discovery just let go a 1,000 people in their ad sales group last week. So there's absolutely no issue in terms of finding qualified people.
Operator: Thank you. There are no further questions at this time. I would like to turn the conference back over to Chris McGurk for closing remarks.
Chris McGurk: Thank you. So thanks, everyone, for joining us today and for your interest in Cinedigm. Please follow up with Laura Kiernan and the team at High Touch Investor Relations with questions you may have. You can reach her at cinedigm@htir.net. We look forward to speaking with you again when we report our first quarter results for fiscal year 2023 in August. Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today's call. Thank you all for joining. You may now disconnect your lines.